Operator: Good morning, ladies and gentlemen, and welcome to the Phreesia Fiscal Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will provide instructions for the question-and-answer session to follow. First, I would like to introduce Balaji Gandhi, Senior Vice President, Investor Relations for Phreesia. Mr. Gandhi, you may begin.
Balaji Gandhi: Thank you, operator. Good morning, and welcome to Phreesia’s Earnings Conference Call for the fiscal third quarter of 2022, which ended on October 31, 2021. Joining me on today’s call are Phreesia’s Chief Executive Officer and Co-Founder, Chaim Indig; and Chief Financial Officer, Randy Rasmussen. A complete disclosure of our results can be found in our earnings press release issued yesterday evening, as well as in our related 8-K submission to the SEC, including our quarterly stakeholder letter. These documents are available on the Investor Relations section of our website at ir.phreesia.com. As a reminder, today’s call is being recorded and a replay will be available following the conclusion of the call. During today’s call, we will make forward-looking statements within the meaning of Section 27A of the Securities Act and Section 21E of the Securities Exchange Act. Although, we believe that the expectation reflected in these forward-looking statements are reasonable, these statements relate to future events or our future operational or financial performance and involve known and unknown risks, uncertainties, and other factors that may cause our actual results, performance, or achievements to be materially different from any future results, performance or achievements expressed or implied by these forward-looking statements. Furthermore, actual results may differ materially from those described in the forward-looking statements and may be affected by a variety of risks and factors that are beyond our control including without limitation, statements about our future financial performance, including our revenues, cash flows, cost of revenue and operating expenses; our anticipated growth; our predictions about our industry; the impact of the COVID-19 pandemic on our business; our ability to attract, retain, and cross-sell to healthcare provider clients and our ability to realize the intended benefits of our acquisitions. These statements are also subject to other risks and uncertainties, including those more fully described in our filings with the SEC, including in our quarterly report on Form 10-Q that will be filed with the SEC later today. Forward-looking statements made on this call speak only as of the date on which the statements are made. We undertake no obligation to update and expressly disclaim the obligation to update any forward-looking statements to reflect events or circumstances after the date of this call or to reflect new information or the occurrence of unanticipated events, except as required by law. We will also refer to certain financial measures not in accordance with Generally-Accepted Accounting Principles. In order to provide additional information to investors, these non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings release and stakeholder letter which were furnished with our Form 8-K filed after the market closed on December 8 with the SEC and may also be found on our Investor Relations website at ir.phreesia.com. As a reminder, we are participating on today’s call from three different locations and based on your feedback, we think the call will be more streamlined and efficient if I moderate the Q&A. I will now turn the call over to our CEO, Chaim Indig.
Chaim Indig: Thanks, Balaji. Good morning, everyone, and thank you for joining us. We just celebrated an important milestone in September as we surpassed over 100 million patient visits enabled by our platform during the previous 12 months. Every member of the Phreesia team has contributed this achievement, and I would like to – I would like to congratulate them on reaching this milestone. This is the latest in a long line of accomplishments celebrated over the past 16 years, achieved through the hard work and dedication of our current and former team members. We also think our clients for entrusting us to create a better, more engaging health care experience. I hope everyone has had a chance to review our earnings press release and stakeholder letter. Operator, we can open up the call for Q&A. Hello.
Operator: Yes, I'm here.
Chaim Indig: Can we open up the call for Q&A.
Operator: [Operator Instructions] And your first question comes from John Ransom from Raymond James. Please go ahead.
John Ransom: Hey, Good morning and obviously the story has changed from a 20% top line to a higher top line, a higher spending story – we figured you – raised how that money for nothing, but maybe you could help the market understand how outside looking and to think about the returns and the timing on that investment? Thanks.
Chaim Indig: Yeah. Hey, John.
John Ransom: Hello.
Randy Rasmussen: Hey, John. I think I’m got cut off with the technical difficulties. Did you hear the question, Chaim?
Chaim Indig: No. Not at all.
John Ransom: It was really – it was really eloquent. I don't think I can talk to myself, so I'll try it again. So obviously, the story has changed from kind of a 20% top line of story, with margins in sight to something double that top line growth, but with stepped up spending and EBITDA and negative EBITDA growing. So maybe you could help the market understand kind of your expectation on the timing and returns on that spending and then kind of what led to this shift in the narrative? Thanks.
Chaim Indig: Thanks, John. Sorry to make you repeat it. And so we're…
John Ransom: It’s okay.
Chaim Indig: …yeah and we're fortunate to have a leadership team that's worked together for over a decade. Some of us even longer having that going way back to 2005. Each time we've made decisions around significantly increasing our investment, it's been a little scary. And this is very similar. Sometimes our investments were for a year or more out than our revenue and frankly, with a much smaller cash balance at the time. But our decisions have always been based on data. Now, you have -- all of you have this data. You could – we’ve been public for 10 quarters. It's public stretching even further back. Before reveals about how we invest when we get it back and how we get it back. We're extremely pleased and excited about the returns we're getting on our investments, which is why we're accelerating them. We know it's not an easy discussion for a lot of you on this call, and it hasn't been an easy discussion for us internally either. We made hard decisions over the years and built trust for us internally either. We made hard decisions over the years and built trust and confidence with each passing inflection point. For a lot of you that were investors with us in March and April in 2020, you trusted us to make those decisions based on the data we saw in real-time then too. The data has never failed us and the decisions, as Balaji called have been directionally correct. And we look at this data on a weekly basis and we continuously course correct and we do it with all of the trust and confidence of our team. And the great news for a lot of us now is we're not making a lot of these decisions with just a small set of data. We have a lot more data and a lot more firepower, especially on Randy's team. And Randy who has been with us for over two years now has a big part of that decision-making process. And I thought I will let Randy speak a little to answer rest of that.
Randy Rasmussen: Yeah. Thanks Chaim. At times that we look weekly, monthly continuously at how our investments are performing and where we're going, I think we're really focused on sustainable and profitable revenue growth. And as Chaim said we view our cash capital as precious and we look for efficiencies in our investments. The SDR program is a good example of this where we bring in leads at a cost effective way so that we can pump that engine that grows the top-line. So we think very carefully about how we spend this money and make sure that that results in profitable and sustainable growth in future years.
John Ransom: So just as a follow up is a simple way to think about it let's say you spend $100 at time zero a year out, maybe that $100 generates $100 of incremental revenue at your sort of average gross margin, I know that's oversimplified, but I think the public market needs some kind of quantitative look to think about this?
Chaim Indig: Yes, I think from the perspective of the spending that you see now is, is for future growth. The revenue numbers that we are putting up this quarter are based on those investments that we made a year ago. And so, the time frames, I think, can range from, one, two, three years depending on the type of spend. The sales spend comes in a little bit sooner, but some of the R&D spend has as a longer term time frame as we build out our products and provide excellent solutions to our customers.
John Ransom: Thank you. I'll get back in the queue.
Operator: Your next question comes from Anne Samuel from JPMorgan. Please go ahead.
Anne Samuel: Hi, guys. Thanks for taking the question. I was hoping maybe you could help us understand some of the inputs that went into the guide, the 20% to 25% for next year, headwinds and tailwinds that you're considering? Just in light of the performance that you put up this year and the investments that you're making?
Chaim Indig: Yes, I think the way that we look at guidance for future years, the 20% to 25% is our long-term outlook. We are playing the long game in this business and that’s, that’s what's important for us to focus, I think there will be quarters and periods of time where we will grow faster than that 20% to 25%. But there could also be periods of time where that declines from that, that higher level. So we're playing the long game here and really are looking for that long-term, sustainable and profitable growth.
Anne Samuel: That's helpful, and then, you know, on the – you had really a nice growth in your provider clients. This quarter I was hoping maybe you could talk about some of the factors that –you know are labor shortage is playing into that and are you considering, you know, maybe that as a tailwind for next year as well?
Chaim Indig: So I think – Anne – I think one of the things that we've seen is that our people have gotten in front of a massive labor shortage issue for our clients and prospects and we've seen a ton of land-and-expand. I think our increased offerings have also played a part in winning a lot of those clients and a lot of that's been the back of increased R&D investment. So we feel pretty good about being able to get out in front of a lot of clients, get them a solution, build their trust, show them a huge ROI and then continuously expand. Randy, what do you like – Randy’s team has a name for it, which I always mess up.
Randy Rasmussen: Yes, I think as we sell more solutions into the client, we refer to that density. So we want a high levels of density as the client adopts our solution and then intensity in important. We want our clients to expand across their locations or even within a location. We want the providers to use more of the product that they have already licensed from us. So you know, that density and intensity are real key drivers to our growth strategy and expanding our footprint and in our existing customer base.
Anne Samuel: Maybe just a follow up on that, as we think about like the 20% to 25% revenue growth for next year. How much of that is increasing your density versus adding new clients.
Chaim Indig: It's both. I think that we are focused equally on both this last year, we’ve invested a lot in our customer success group and they're the ones that are primarily focused on the Expanse and they've been doing really well. We've seen a lot of success with that. So that's really important, but the new logos are also important because as we add new provider clients, that also increases our network and gives us more opportunity to attach payments and deliver digital engagements from our life science business. So we view them both as equally important.
Anne Samuel: Great, thanks so much, guys.
Operator: Your next question comes from Ryan Daniels from William Blair. Please go ahead.
Unidentified Analyst: Good morning, this is Joe hosting for Ryan, thanks for taking the questions. I wanted to ask a similar question just on the outlook going forward here, but focusing more on the adjusted EBITDA line and understanding that very much you're not giving a formal number yet for 2023, but just curious to know if I look at the implied Q4 guidance that point to around a loss of around $35 million for fiscal 2022. Is it fair to think of that as a good exit run rate for next year kind of on annualized basis or would there be any sort of context we'd be missing with that framework? And then similarly, is there any color you can share just around sort of the magnitude of the expected cadence in terms of the OpEx ramp next year? Thanks.
Balaji Gandhi: Yes, Jared, thanks. This is Balaji. Let me sort of replay that and set it up, and then maybe Randy can pick it up. But obviously, you know, we want to be careful here. We're not providing guidance for fiscal 2023. And one of the reasons, as we did last year, one of the reasons we're providing some kind of, framework and starting point for fiscal 2023 in December is because there's probably what, three to four months before we talk to you all again in this sort of format. And we don't want to wait that long. So that's sort of the revenue guidance. And in terms of the EBITDA So that's sort of the revenue guidance. And in terms of the EBITDA, we thought it was important especially based on some of the feedback from last quarter when we, we did ramp up spending to provide guidance for the fourth quarter. And I think you're just going to have to wait, but I think the comments in the letter and, certainly suggests that it's not going to be pulling back. And when we say accelerating, maybe just so we're clear we don't mean accelerating as a percentage, we just mean accelerating as a dollar amount. And so maybe Randy, if you wanted to add anything to that. Go ahead.
Randy Rasmussen: But yeah, Balaji I agree. I think we're not prepared to well, I guess the timing isn't right for us to talk about adjusted EBITDA guidance for fiscal 2023. But as we’ve talked about before, I mean, we've had a history of profitability and made a conscious decision to increase our investment levels to get that sustainable growth. I think as we've hired, you also start to see some of the hiring that we did in Q3 was done near the end of the quarter. So that's where the guidance for Q4 comes in when the numbers increase. So as Balaji said, the plan is to continue with this investment cycle.
Unidentified Analyst: Okay, fair enough. And I appreciate the comments there. And just wanted to sort of quick follow-up, wanted to turn to a different theme here. You announced an acquisition of Insignia Health. Would love to just get a little bit of color here in the background, it sounds like from the prepared remarks this was a company that you had some familiarity with. So just curious if you could talk a little bit, just the sort of genesis of that deal. Just announced that that's embedded in a lot of your clients, and just curious what exactly you're seeing in the market that made you want to add this capability. Thanks.
Chaim Indig: All right. I’ll lead off now, but I think, I’ll let Balaji had something at the end, so we're really, really excited to bring this two our clients. We have, we have some overlap in our clients, but we believe that people had tremendous value to a lot of our clients and prospects. And we're really excited. We've known about this organization and the PAM score for years. It's mission oriented. It's rooted in decades of academic research. Dr. Hibbard is lead author of The Patient Activation Measure. She's joined Phreesia, to have her as an advisor and its increasingly relevant to value based programs. [indiscernible] it works with some of the most incredible organizations, including our own government and the government, the United Kingdom, so we're pretty excited about it, and we think that activity is a core clinical measure that helps change the outputs and the outcomes for patients, and our practices are continuously looking at tools to be able to improve outcomes. We think this is the gold standard, and we're really, really excited to have this as part of our arsenal. Balaji, you want to add to that?
Balaji Gandhi: I think, Chaim covered a lot of it, I think when you just think about Phreesia’s core strengths, you know, we're very good at putting tools in the hands of patients, because we believe all patients want the opportunity to participate in their own care and our commitment is to driving high rates of self-utilization. And it's made us experts really in doing that and reaching a vast majority of patients. We saw we hit the $100 million mark. So when you think about those core strength that that Phreesia has and our mission of driving a better patient experience, we think we're, we're a very attractive home for a company like Insignia and the TAM measure. And so we were – we were thrilled that they agreed.
Unidentified Analyst: Got it makes sense, and thanks again for the color.
Operator: And your next question comes from Richard Close from Canaccord Genuity. Please go ahead.
Richard Close: Yeah great, thanks for the question, and congratulations. One question here with a follow up. But first, I want to dive on the life sciences obviously outperforming versus expectations. Can you provide some momentum on that division or business? Is it just simply the growth in the client base over the last several years? Or is there something you know related to the shift in marketing initiatives with pharma that's driving the outsized growth?
Chaim Indig: Richard, this is – you know, I appreciate you bringing this up, this is a good example of us using information data, trusting ourselves in our team, and we saw our volume, which I think everyone can now see more than double since we IPO-ied. Right. And because of the investments we proactively continuously made in data science, we were able to better monetize that investment for all of our stakeholders. And so that – we think this huge TAM. It's I think we've been pretty clear it's a $800 million $900 billion TAM. And based on the investments that we started to make, we thought we could gather and capture more of that available market. And that investment has paid off. And we'll continue to make those kind of investments really based on data and the knowledge that we have on how to interpret the information and make the right decisions…
Richard Close: Okay. That's helpful.
Chaim Indig: I think the benefit of having a very seasoned team. We’ve seen many cycles.
Richard Close: Okay, that's helpful. And then just to go back to the acquisition, can you go into a little bit more details where that fits in the workflow? Is that something where the patients are continuously engaging with the offering? Is it like pre-visit, post-visit maybe a little bit more details on that front?
Randy Rasmussen: Sure. Oh, yeah. Chaim you want me to start on that?
Chaim Indig: Yeah, sure.
Randy Rasmussen: Yeah. Richard. So I mean, the company Insignia currently the customer set is in the payer space in the life sciences space and in the care delivery space. So when you think about, those three delivery settings, you have very different orientations but ultimately, if a patient reported outcome measures, so the questions are asked to a patient, they answer those questions. And today, I mean, we're obviously just completed the transaction last week. But today Insignia pushes those questions out in different ways to the patient directly. And we'll sort of, as we get to work with them more closely, figure out, how that might intersect with how Phreesia interacts with patients. But that's, that's sort of the way to think about it. And there's different care management platforms that they integrate with obviously EHR, PM systems that they integrate with. So there's a lot of commonalities with Phreesia, but that's, that's sort of the way to think about it. It's pushed out to a patient. Those questions get answered and then, the information is used to help to drive outcomes.
Richard Close: Okay, that's helpful. Thank you.
Operator: Your next question comes from Glen Santangelo from Jefferies. Please go ahead.
Glen Santangelo: Yeah. Thanks for taking my questions. Chaim and Randy, I hate to do it, but I did want to follow up on this investment spending. It seems like a lot of where the incremental spending came in was more on sales and marketing versus R&D. And when we look at the headcount of the company, the number of employees has more than doubled over the past 12 months. And so I guess what investors are really trying to figure out is how much more do you have to invest in and in particular when you look at the guidance for next year? I think investors are kind of nervous that it feels like the company is spending incremental dollars to chase fewer revenue dollars. And so maybe you could help us think about, where the company is today from a headcount perspective, what else you maybe think you need and kind of give people a sense for how much more there is to go? And then I had a follow up question on the acute care market.
Chaim Indig: Yeah, I think – I think Randy can start with that answer. Glen, I can just tell you one answer to the headcount. At the end of October we had 1,490 people and obviously given our comments about the fourth quarter we continue to hire. So we're north of 1,490 today, but maybe Randy can cover some of the other Glen's questions.
Randy Rasmussen: Yeah. I think when we think about how do we look at what our head count needs are and how does that seat growth. We look at data on a weekly basis what kind of lead generation is the SDR team producing, what do our provider sales teams, what are their close rates. We look at this on a weekly basis and make adjustments. I think from the perspective of when – when is it enough, I think as we continue to grow, as long as that investment continues to – to provide a sustainable and profitable growth in the future period, we would – we would continue to invest. I think this last clip was a very large increase in headcount. And I don't think that we're very thoughtful about capital. Capital is precious to us, and we understand from an investor perspective that they want us to use those dollars to grow the company. And we think about that as we look at this data on a weekly basis and make decisions about what are the next hiring plans in the coming month, in the coming quarter and throughout next year.
Glen Santangelo: All right. Maybe just sort of follow-up on that sort of segues into my acute care question, the lead generation that you're talking about, are they more on the physician side or on the acute care side? Because we've been getting some questions around the transition to the acute care market, how it's going. In the past, you've disclosed a relationship with our one. And so maybe if you can just sort of comment how that transition is going and where – where the lead generations are coming from, that would be helpful? Thanks.
Chaim Indig: Yeah. So I’ll pick this one up. The – I think we've commented for the past, I don't know how many quarters that we always sort of lead with the ambulatory side and then we try to pick up the acute hospitals after we built the reputation that we have on the ambulatory side and that continues to be the strategy and it continues to execute very, very well. Really part of the land and expand strategy. We are very, very good at providing a holistic solution across the entire spectrum of the health system. providing a holistic solution across the entire spectrum of the health system. And we don't announce most deals, but we continuously – continue to feel really good about the returns we're getting and the long-term outlook of continuing – investing in the hospital market and all the ancillary services surrounding it, as much as we are investing into the ambulatory market, we think they're very complementary, but we tend to always lead with ambulatory first at the client.
Glen Santangelo: And okay, thank you.
Chaim Indig: …we got a question -- did you R1 …
Glen Santangelo: Yeah, yeah, I did have a question R1 – in particular because – like as you disclosed right, because you've disclosed that relationship in the past and they've made an acquisition in early 2020. That seems like it's a little bit competitive with sort of what you're doing – and then so I was just wondering if you could provide any update as far as that's concerned.
Randy Rasmussen: No, I think that they – they're still a valued client and partner, and we look forward to continuing that relationship. And I think we have lots of partners and clients that also use and have other competitive thing, and we're comfortable with that. It's a huge market and what we tend to do really – we tend to do really well with our product. We're a product lead – gain – and so when customers strong their need our full solution and or the vision of that, we do really well. And we appreciate the partnership and relationship with r1.
Glen Santangelo: Okay. thank you.
Operator: And your next question comes from [indiscernible]. Please go ahead.
UnidentifiedAnalyst: Great. Hi, everyone. Yeah Just going back to the sales and SCR investments, can you maybe discuss the productivity of the new hire cohort and how this compares to the expectation you might have had when embarking on the accelerated investment strategy? Obviously, the team is quite a bit larger, but I imagine also younger in tenure. So is there a better sales efficiency to still come and we can expect as these new hires go through a regular productivity ramp?
Chaim Indig: From a productivity standpoint, I think we're fairly comfortable with where they are and we're always looking for more and better productivity, I know, they don't cause continuously where Kharen and the team have done phenomenal work at being able to continuously just improve productivity and the success of that team. And we’re always, we always look at that and that's how we've gotten to where we are and improved the business. But we're really happy with how that as the organization has grown and frankly maintain the success that it's had.
UnidentifiedAnalyst: Okay, great. And then just kind of going back to your growth framework, is it fair to think that of course Phreesia is executing year following one with accelerated investment spending. Should typically track above the company's long-term growth framework?
Chaim Indig: Can you repeat that one? I'm not sure I followed it.
Unidentified Analyst: The 20% to 25% growth I appreciate that kind of a marker and it aligns with your long-term growth framework. But we're also in the midst of seeing accelerated investment this year, and that's going to continue into next year. So I suppose all else equal, do you think it's a fair expectation to think that following that type of investment environment, growth should typically track kind of a above long-term targets as opposed to in line with long-term targets.
Chaim Indig: I think without speaking specifically to next year, I think, it's not necessarily this year's investments are impacting next year directly. I think it's probably maybe Randy, it's worth repeating I think an earlier question on this topic around how we think about longer term growth.
Randy Rasmussen: Yeah, yeah I think, as we said, I think the long-term, sustainable, profitable growth of the 20% to 25% there are – there will be periods where we will outperform that long-term goal. And I think and that's what we want, right. I think we like to grow. I think it's good growth, it's profitable growth. So yes, from that perspective, I don't think we can really get into what the guidance is for next year, but that's fine by rules. But I think we continue to invest with that strong growth in mind.
Unidentified Analyst: Great. Thank you very much.
Operator: Your next question comes from Ryan MacDonald from Needham. Please go ahead.
Ryan MacDonald: Hi. Thanks for taking my questions. Chaim, just an additional question on Insignia, a really interesting acquisition in technology there with the patient activation measure. Just thinking about how – we’d like to have a little more color in how you're thinking about the go to market strategy there. There's, I think, interesting use cases on value-based care models for your practices. There's obviously a potential benefit on the life sciences side and sort of that additional information on patient and sort of utilization. Just curious how you're thinking about sort of the prioritizing the go-to-market there as you integrate that acquisition?
Chaim Indig: We generally don’t talk about what we're going to do, that hasn't changed and it won't change. But as we start moving it into our product offering and making available, I’m sure it will become noticeable. We are really excited about having this founder led organization here, and I’m going to sort of refer back to thesis. I think there's a lot you can unpack from it. But we think this is a poor measure, potentially on the long term.
Ryan MacDonald: Got it, got it. Okay, and then – and then just a follow up on terms of the life sciences opportunity. Continuing to see growth rates there, just curious, obviously, we're seeing a shift materially to digital spend from life sciences companies. Can you talk about sort of the magnitude of the impact that that's obviously having on the growth in the business? And as you look at sort of your customers right now you talk generally about sort of percent of spend that is starting to shift over to digital and how you might be able to capture more share of that over time. Thanks.
Chaim Indig: Well, the way we’ve been able to capture and grow extensively is, we knew based on our information and our data and having a very senior and tenured team on running that we knew where we needed to make those investments. And we started ramping up those investments a couple of years ago. And so to us, the shift, you could usually see the shift happening way before it's happening based on the information that is available. And as an organization, we pride ourselves on making decisions around spending or on product investment, around resourcing, all around data and the experience we have and understanding that data. And we think there's a, there's continued opportunity for us to grow in life sciences, and I think we've been articulating that we will continue to invest in that area, and we're fortunate to have your team and they just executed brilliantly understanding that we have a competitive advantage in being able to see what's happening in the market.
Operator: And your next question comes from Donald Hooker from KeyBanc. Please go ahead.
Donald Hooker: Great, thank you. And this may be dovetails and fills out some prior questions as well. Obviously, great number of provider clients added in the quarter. And you guys, I always think of you adding clients and then revenues follow from that, not just out of the gate, but from that. I'm just wondering if that that dynamic of land and expand is any way changed or clients adopting more solutions out of the gate? Or is it sort of a similar pattern that we should expect from the past in terms of adding clients and landing and expanding?
Chaim Indig: Randy, you want to, do you want to take it?
Randy Rasmussen: Yeah.
Chaim Indig: Go for it.
Randy Rasmussen: Yes, so I think to answer your question, no, our thesis hasn't changed. We still are very successful with the land and expand strategy. It's important for us to grow across the customer base. I think also, we think about networks and the more provider clients that we have, it gives us more opportunity to deliver digital engagements. And there are certain things that can get adopted right away, so, for our customer that takes payments that typically is sometimes the first dollar of revenue that comes in. But it may take a while for a provider to switch over to our payment solution with their volumes and basically burn down their previous payment provider, but we do see lots of interest in our new products. You know, I think the texting solution is interesting that we highlighted in the quarterly stakeholder letter. So we do see high levels of adoption of additional products.
Donald Hooker: Great, and then a quick follow-up. You know, again, a strong provider client ad count in the quarter. Can you update us on terms of your – I mean how – sort of your capacity in terms of adding clients successfully and update us on terms of like how many clients are being implemented remotely versus onsite? Is there any kind of changes there? How do you feel about that? Thank you.
Randy Rasmussen: Chaim do you want to – do you want to talk about that.
Chaim Indig: Yeah. I think one of the reasons why we feel pretty comfortable about these client ads – is first off, their clients, like they're already live using us, paying us more often than not running transactions through us. And a lot of our ability to be able to take them live – at mostly remotely has been because of the investments that we've made based on the information that we've seen. So we've tried to get ahead as far as possible on being able to staff and support. So we continue to have just phenomenal levels of support and have speed of implementation, and a lot of that is based on the information that we see. So we've really ramped up the teams continuously in sales implementation and customer success, and those teams have just done a phenomenal job at being able to support those new and expanding clients.
Operator: Your next question comes from Scott Schoenhaus from Stephens. Please go ahead.
Scott Schoenhaus: Thanks for taking my question. I just wanted to follow-up on the land and expand strategy and the density and really just get into some statistics here that you guys had offered in the past. I think you at one point mentioned you had 27 modules. I'm sure it's increased since then and that the average client has about half of that or 13 modules. Is there any update to that stat? I think that if you can provide more color on the opportunity there to expand on the revenue per provider client.
Randy Rasmussen: Hey, Scott. One of the things you can refer to in our slide presentation and in the letter is just we tend to update every quarter the platform slide. So you can see how that's changed over time and – and what's been added. And – and I think things are evolving, obviously, as we – as we do new releases, et cetera. So, we can follow-up with you on that, but I would point you there. Chaim, I don't know if there's anything you want to talk about in terms of what's – what's been going on in our product organization.
Chaim Indig: Yeah. From a product standpoint, the investments we've been making in product have been paying off people. They add a phenomenal amount of value and we try to get it in the hands of the right clients at the right times. And the more product – products we get our clients, the more value we provide them and the happier they are. And I think some of you continue to do channel checks. And as we've grown tremendously, our clients have remained not only happy, but continuously pleased that we're able to add more and more value to them on their journey to support their patients. So we feel very good about our continued investment in product to get them in the hands of our patients, in the hands of their patient’s and our providers that we support.
Scott Schoenhaus: Great. Thanks. And just as a follow-up, I wanted to kind of drive in deeper on the new employees and the hiring in the sales and marketing team. Are you seeing anything – I hate to use the word transitory, but are you seeing anything that's happening given the tight labor market now that would lead you to believe that these elevated expenses could – part of it could be more transitory and be less challenged in 12 months from now when the labor market changes? Just any additional color there would be helpful. Thanks.
Chaim Indig: Well, I think what we found and [indiscernible] who’s led our HR organization for 10 years and has seen multiple cycles has talked a lot about internally is, we've really seen a competitive environment where we have to get out in front to make sure that we are continuously examining our entire package to make sure that we are the employer of choice for both our current and future team members. And it’s been it's – frankly that competition aspect of that has been growing at a faster rate than I probably would have predicted two years ago. But we’ve really maintained sort of in front of that so that we can continuously attract and retain phenomenal individuals to our organization. And great people generally are worth their [ph] weight in gold. And we’ve continuously found that and we think we have just a phenomenal group of people here at Phreesia.
Operator: And your next question comes from Daniel Grosslight from Citi. Please go ahead.
Daniel Grosslight: Hi, guys, thanks for taking the question. Most of my questions have already been asked and answered, but maybe if we can dig a little deeper into the 4Q EBITDA guide – which implies around a $17 million increase in operating expenses sequentially. If I look at 3Q and the sequential increase in spend, it looks like most of it is coming from that sales and marketing line, followed by R&D as we think about 4Q and beyond. should we think about the investments you're making as the kind of same in terms of proportional to S&M and R&D? Or do you think we'll see some catch up in R&D and a little less acceleration in the sales and marketing line? Thanks.
Chaim Indig: Yeah, I think directionally, you know, all the lines will grow. You know, R&D is one of the areas where there is a focus on investment. So I think you will see increased investment there. It's really those two areas that we continue to focus on because those are really the things that contribute to that sustainable growth on the top line. You know, I think it's similar to when I talk about, you know, revenue from quarter-to-quarter. I think hiring can also have patterns, too as we look for the best talent to add to our company. Sometimes it takes a little bit longer to find some of the right talent in the engineering area. So you will see some variability in the quarter as we are building those teams.
Daniel Grosslight: Okay. But would it be right to say that on a dollar basis, the increase in R&D spending in 4Q is going to be greater than the increase in sales and marketing spend in – from 3Q to 4Q ?
Chaim Indig: Yeah, I think in that respect, we don't really, provide detailed guidance on the line item level. They both, directionally are, being invested in. So they both will go out.
Daniel Grosslight: Yeah. Got it. And then as a follow-up on the Insignia transaction, Balaji you made an interesting comment that it's used not just by kind of providers in life sciences, but also payers, which would be a new market for you guys. So I'm curious. And obviously, they have a very strong relationship with the CMS than HS. So I'm curious on how this may open up new markets for you, i.e. the payer market. And if there is a kind of concerted strategy there to have this via a beachhead and expand your TAM even further?
Chaim Indig: I think we've been thinking about this market for years, and it's like we believe sort of the, the relationship between payers, providers and life sciences continues to be blurred and we are very excited to have capabilities that and the team that we bring with us to help complement a lot of the investments we've been making and we think the Insignia we're going to, that's something we've been thinking about for years and we're really excited.
Daniel Grosslight: Got it. Thanks, guys.
Balaji Gandhi: Thanks, Daniel. And operator, I think we're a couple of minutes beyond 9:30 here, so we should probably wrap up the call and Chaim, do you have any closing remarks you want to make?
Chaim Indig: I just want to thank everyone, our clients, our investors, our employees for trusting us to continue to improve the healthcare system. And we think we are headed down as we, as we do that, we're really excited about what lies ahead. I haven't been more excited about what we're doing and this is – it's amazing, but we're very pumped over here, for sure.
Operator: And this concludes today's conference call, and you may now disconnect. Thank you.